Operator: Good afternoon, ladies and gentlemen. And welcome to the Hypoport Results for the First Half of 2024 Conference Call. At this time, all lines are in a listen-only mode [Operator Instructions]. I would now like to turn the conference over to Ronald Slabke. Please go ahead.
Ronald Slabke: Thank you. Welcome from my side as well. So first half of 2024 is over and we reported today in the morning our numbers. You are aware that this was a pretty good start in the year 2024. Double digit growth on top line and gross profit and massive outperformance on the earnings side, thanks to a pretty difficult last year, which we had as you are aware. The core growth driver is the real estate and mortgage business with a growth of 32% even. And this is thanks to a recovery of the German mortgage market plus market share gains across all segments, which we could realize over the last 12 months. Another highlight comes from the financing segment. Our software as a service offering and open ERP system for the housing associations is growing fast. And this is quite the heavy investments we did the last year that and still we are doing including this year where we see massive growth on the client side. Challenging, I would say, the most important part is the property valuation side where we are still struggling with the regulatory changes in the market environment over the last two years to adjust to this, to adapt to this and to gain trust of the clients again. Plus the financing platform is still in market environment, which is on the bottom, there's no recovery visible by now and this is different than the real estate segment for now. Okay, so let's start with the most important segment and the core of the company, real estate segment. You're aware of this dominated by our mortgage platform Europace, and a lot of entities that support this growth or expand our reach along the value chain. We have a first view to the market, because the market was this massively changed over the last 24 months. And you can see now second quarter in a row where we see a recovery, the underlying macroeconomic figures are well on track. We have a net migration to Germany, thanks to a huge demand on the labor side. Stable, other trends like insurance are the main trigger for Germans to acquire first home and more and more people living alone, which increases the demand for housing even more. A pretty new trend, I would say, over the last three to four quarters is that the typical supply side for lots of people of the middle class to find a new home was the renting market and this renting market is pretty frozen, thanks to massive regulation over the last 10 years in the end. Price cap and the price breaks that were initiated, which slowed down the rent dynamics of existing wedding contracts to a level that now in metropolitan areas signing a new contract will cost you double of this what the existing ones in average are, means nobody is giving up its renting contracts anymore. So the fluctuation is sharply going down, no new renting apartments coming to the market -- no existing renting apartments coming to the market because of this and no new renting markets -- renting apartments coming to the market, thanks to the mismatch of the regulated rents to the interest environment we are in now. So that the supply side on the renting market is extremely distressed while the demand is high, which leads in as a result in a change in consumer behavior that whoever is able to afford has to buy his home if he wants to move on and to change his living situation. Renting is not a feasible option for most of the people, especially in the metropolitan areas anymore and this meets a normalizing market environment for the affordability of home ownership. You have a pretty stable interest environment, you have increasing incomes on the other side, you have a stable high supply of conduits and homes in the rural areas and you have slightly increasing price trend again. So something where you could profit lately that prices were trickling down is not delaying any decisions anymore. And the last thing what influenced this market heavily over the last years the regulations. You can say for the first half of this year, not a lot happened and this is already good news for us because government tend to do the [wrong] things lately. And with their, let's say, with the stable, not very supportive environment, people started to act and keep acting during the first half of this year as you will see in our numbers. Okay. A little bit more details this trends, which I just described, the four most important microeconomic indicators for our market. Interest rates, stable. We saw a short peak for this year and end of the second quarter. After this the interest rate went down already again, which is helpful. New high level of properties for sale publicly available. We expect that there's quite similar amount of units that will come to the market as soon as the sellers see that the market is getting more active. So there's a backlog of people who still wants to sell. On the other side, there's a huge amount of people who will -- who are desperately looking for their first new home, because they delayed this decision already over a period of two years now. This leads to trickling of prices, especially in the area of conduits in metropolitan areas. So the apartments are faster increasing in prices than houses in municipal areas. And when you see this you may think that -- well, let's say, one thing to understand this as well that this is the value change of properties. On a [fair to fair] comparison basis, people tend to buy smaller apartments, smaller houses, less energy efficient houses right now. So the average price per property is still -- the house is still not going up, it's still stable. For conduits, it's going up as well already, but not in the same dynamic as the value of the properties, which is shown here in the upper right diagram. Okay. Quick side note here. Construction costs for new building, stable for the first half of this year after a long period of fast increase in costs. This has an effect as well, which I will come back to it a little bit later. And the most important diagram, even when it's not about the home ownership market, but the renting market is the one in the lower right. We see the lowest level of publicly available renting units ever here in Germany right now, and this is a process ongoing for a long period. As I said, renting regulation makes it very unattractive to give up your renting contract. So no existing renting apartments come to the market if then the owner may consider to sell it and not to rent again, because of the extremely low interest he receives out of the value of the property, which he has to rent. And nobody's building new renting units right now and bring them to the market. This is -- it's not paying back in the current interest environment and we are far from -- that this is going to normalize again. And in this closed renting market transactions are back, we predicted that time of one to two years for recovery to happen. Now they have the second quarter in a row where transaction volumes goes up. So we are in an dynamic incremental process of a normalization of this market. But you see there for now we are far from the previous level. I will come to this back later. So there's still a lot of upside here in our market environment. So how we operate in this market. You're aware of this, the [center is] Europace specialized marketplaces for regional banks, savings and corporate banks, and a lot of units who support this growth of the transaction marketplace for mortgages. Europace, in total, is up 22% compared to last year. This is above market level, just single digit above market level, and let's say before long time achieved double digit growth above market level. The difference right now is that our largest partner and long term partner, a large German bank here, struggled with the mortgage operation and massively slowed down the new mortgage productions since May last year, and this -- their transaction volume imploded on Europace. And well, some was redistributed to other partners but some be simply lost and this is suppressing our growth dynamic for the first half of this year. Starting in the second quarter, you should see a normalization, because already in the third quarter last year they were not present anymore. So this current growth comes in a similar way from Dr. Klein, our franchise network, for small intermediaries operating under our brand. They are go track, they gain market share. For now, they’re focused on bringing all their advisors back to normal in the efficiency. And as soon as they see that this is a stable trend, they will start to hire additional advisors. And we'll come back to all old transaction volume records, which we had here. Massive growth driver for the last years and ongoing first half of this year where our expansion to the regional banking sectors, savings banks and corporate of banks see a plus of 50% each. So everything’s fine there. We outperformed own growth figures by something around 30% to 40%, means we are adding market share in both of the sectors, we migrate the sales structures of the sectors, so winning one after another bank to migrate to us and digitalizing their processes being more efficient than their in-house IT solution, and with this expanding the reach of Europace further. So pretty well on track and to be continued. This is very interesting when you look on the product mix on Europace right now. So this 12 billion in mortgages for the purchase of existing homes. We had third highest transaction number ever on Europace for the purchase of homes, means we are actually pretty back to old record high level and this with lower average mortgage volumes and lower house prices. Means that the number of transaction is actually already a record level for second quarter. So from this you could say, hey, well market is fully normalized already. To be fair, we gained roughly 30% market share during this time. So still for the market, it's a way to go up to normalize even in the purchase area from the momentum, which it already had. But as I said, renting market is closed, people have to buy if they want to have their own home. So if children are coming and you need to adjust, you can't rent anymore, you need to buy. And with this in mind, I can just predict for you that the red area here, the red columns, will keep increasing over the next couple of quarters to a higher level than we previously said. Higher level in transaction and higher level in average mortgage contract and bringing us to new record high even for this purchase area. And the other three are not distributing right now to the overall volume. So the refinancing part is -- are forced to stop the -- refer to the new building, new construction. But there are no new houses built in Germany right now, let's say, not now, but less than 50% of this was usually financed for new home constructions. And thanks to the increasing prices, the amount is still, let's say, more positive than the number of transactions there. So the number of new properties financed right now is far from the need of the market, far from this what government promised to deliver. So that there is increasing tension in the market that the massive demand is not met by new housing constructions. You can say that the government prediction of 400,000 units per year would bring us to a stable market environment with only slightly increasing rents. Currently, we are heading in the direction of far below 200,000 units per year finished, because we see what is financed. This stressed market, this will bring -- this will keep the tension on the renting side high, will keep the regulation on the renting side high and will make buying properties expensive. And so this stable -- let's say, this support actually this rent area of the market. So next product area is refinancing, or follow up financing, I called it. So the refinancing is something which is a very stable market here in Germany, because of the typical 10 years interest rate, fixed interest rate period. Thanks to good advice 10 years ago people started in 2012 already to finance 50% of the mortgages for 15 years or longer fixed interest rate periods. And this is leading now to not existing need to refinance fast so they can wait until 2027. Then this market will normalize again and we will be back on the user level of a couple of billion refinancing back on Europace. And actually -- and market who should grow over the last time, over the last periods and as well in Q2. The energy efficiency investments in the existing home ownership stock is still depressed on extreme low level less than two years ago with -- even then there's a huge political agenda to invest 20 billion per quarter in the existing household stock to meet our net neutrality target for 2045 in the upcoming 21 years. So with this in mind, the 1 billion which we see here right now is really just a fraction of this is what necessary, and it shows the potential for the near time future when the regulatory environment and the support of the government for this sector meets the demand of the people. As a perspective, same market in which areas of clients we are performing, broker segment, our largest one, increase in market share for us, especially relative to the one and only large mortgage broker, which is not using Europace here in Germany and that belongs to ING. Brokers, altogether, gain market share, we profit from this. You see this with Dr. Klein number and this is all for platform development. In the private commercial bank segment, still roughly 40% with our, as I mentioned already, largest client struggling. When he's coming back they're coming back, then you will see an increase in our share there. And cooperative banks and savings banks, both at roughly 20% to 25% market share for us right now with our 50% [growth] track, we are gaining fast volume share there and bringing their internal solutions of their sector, internal IT service providers, to struggle with the cost per unit left for them. And this may in near future accelerate the decision process far than our direction. There's one area of stress and distress you can say in the real estate and mortgage business, our property regulation business. You are aware of this. The market -- the massive market change plus two massive regulatory changes bought us here in turbulence. We worked out this year this, let's say, a major part of this, especially our default on the service levels with our clients and adjusted our resources to the new product mix in the market. Still in the second quarter, we miss the necessary increase in orders -- in order flow from our clients. We see a certain level of, let's say, that are hesitating to trust our ability to deliver again. We do need to work on this trust here and then we will see increasing numbers on the revenue side with a massive impact on the EBIT side as soon as this happens. But this trust needs to be gained again. And our struggling with the environment over the last one and a half year destroyed there quite an amount in positive flow and positive sentiment we had in this market, but we will work back to this. Okay. Segment summary, double digit growth, profit -- gross profit line. The gap between this is actually a new business model where we intensively advertise for pooling the business with us and increasing our buying power and letting other Europace partners participate in this buying power. We have to receive the whole commission in this case and forward most of this commission to our Europace partners, but keep a small share of it as a small margin and more than we -- let's say, it costs us to manage this all. So it's a single million digit of profit distribution this year just out of this business model, and something which adds a couple of million in revenue every quarter right now to our business model. All in all 50 million in EBIT for the first half year and this includes still massive investments in new products around Europace and the value chain, and it includes close to 5 million in losses for restructuring and just inefficiency of our valuation business. So without valuation, we would be close to 20 million in EBIT already for this segment, something which we outperformed already in the past. But keep in mind we are roughly at 50% of the normal market level right now when it comes to volume. So there is a lot of potential up from here. Next segment, financing platform. You could say, all in all the different market segments are still in the crisis environment, starting with the housing associations, the social housing here in Germany. I said a lot about that the renting market was regulated. You can say for this guys here, the regulation is one issue. The lack of fluctuations is a very small issue. The main issue here is that out of this hundreds, thousands of social housing units, which are needed across the Germany, the interest rate environment combined with a limitation of subsidies doesn't make it attractive for them to invest and to build new houses, and just different from the time up until 2022. Plus as well here energy efficiency investments needed for this sector alone, something around 5 billion per quarter should be invested. And for now, the necessary metrics are not there to do so. So this sector is for now you can say in the winter sleep when it comes to investing, and we see this in their mortgage needs. So 0.5 billion of mortgage financing in the first half year. This is much less than we usually do and it includes still massive market share gains. So this sector is really not in the mood of investing right now. We have to compensate this with other product lines, which we are ramping up. Positive trend on the side of our deposit management platform, constantly above inflation rate. We are increasing the volume, which goes through it and where we get some more margin. And even with the higher dynamic that I mentioned this already as a good news part is the rollout of our ERP system for the housing associations with again a massive plus in signups. We already are struggling with the amount of demand. All migration slots for 2025 are occupied now. So we really need to increase our current investment in project management resources and onboarding resources to speed this up and ramp this up. But we are not delaying our partners who really want to migrate in our direction. So good dynamic there and let's say overall an industry where we feel extremely connected with. Next area is corporate finance and especially the arranging of subsidies and financing for this subsidized projects here in Germany. Something which -- so a peak environment, a great environment at the end of the last government time. With the current government, we struggle like whole corporate Germany. You can see that the number of active projects that we advise clients and try to achieve optimal financing situations with them increased massively compared to last year. So it's not just demand, it's execution already of this. But especially when it comes to the government agency who check and underwrite certain subsidies and certain loans, we are struggling. We had an budget fees here in Germany at the beginning of the year, which delayed a lot of these projects. And we saw, in the second -- third quarter, a lot of small slowdowns, thanks to restrictions coming from the government as well, how they want to fund the subsidies, which they promised. All-in-all, the first half yes, which was under our expectations and slower than as well last -- first half of the year in 2023. For the second half, we expect an positive dynamic, thanks to all these projects, which are ongoing right now. And let's hope that our government gets a little bit on track to deliver to their promises, because as well here a lot is about carbon neutrality and innovation, something where the German industry struggles with their distributed resources compared to the expectation of the speed of change. So last credit market in this financing segment, personal loan business. In general, maximum stable market. There are no quarterly figures for the whole industry. Probably even a shrinking market right now as well, thanks to regulation here in Germany to combine insurance products and personal loans. It will be banned to the end of the year and the credit industry will react to this with increasing credit margin, because of the lack of insurance in the future. This in combination with, let's say, for the short term history and pretty high interest rate environments leads to pretty high personal loan rates from we are talking now about 10% on the marketplace already, again, in average. This is unusual for the German consumer. He was getting used to more 6% or 7% and double digit interest rates slow down this market. So we see a shrinking consumer market here. We could compensate this on a certain level, plus 70% on the platform in general. And our white label third party business, which is very profitable, up 22% in the transaction volumes. But this is a -- let's say, it's happening in the struggling market environment and the consumers even increased their cancellation rate, thanks to this too high interest rates now, so this --- which is compensating parts of our transaction volume gain when it comes to revenue at the end. So in general, this whole segment is, let's say, neutral from the growth perspective, plus 4% in revenue, slightly down in probability because of additional investments for the first half of this year. For second half, we expect better figures, a positive EBIT distribution so that we come back to top and button line growth here. It was, let's say, a struggling start, but it's a basis from which we can expand from here. Now, segment insurance. Three product areas, private insurances, industrial insurances and employer-linked pension schemes. In all three segments, we are focused on migrating existing solutions or markets to our solution. In the -- especially private insurance area, we migrated a lot of license based business to a software-as-a-service recurring revenue base business. This cost is still dynamic and this is what you see as a P&L number, but we are progressing. Smart InsurTech, the personal insurance business is up 40% with their migration and with this with their recurring revenue base, but probably they lost some license business. So the net revenue gain is lower. Corify, our industrial insurance platform newly launched in 2023 gained traction. More and more clients are underwriting, more and more clients -- industrial insurance brokers are in the test phase, this Corify can get a big topic for 2025 and 2026. And where we see that we are having a positive dynamic already is the occupational insurance business where especially pensions are linked to employers and employees with ePension, we are on a clear growth path coming from a pretty low level in highly non-digitalized environment with just a few competitors. And we are performing pretty well, especially when it comes to the profitability side compared to our competitors here. So this is actually the highlight on growth, while Smart InsurTech is still struggling with the migration. In general, for this segment, the most important thing right now is to stay profitable. They achieved this in the first half of this year. So next to this migration, it is core not to expand our investments here anymore but to fulfill. And this they are delivering right now and they achieve a basis for next year top and bottom line growth from this what they stabilized here right now on the income side. So for the whole Group, it is a good start in the year. We are on track, you can say. When you compare this year with previous years, you see that, we are well above the revenue compared to last year. EBITDA last year had some one off double digit million one-off, we will achieve 50 million EBITDA this year without this one off. And when you compare this with our last record year, you see already that we are getting closer to our last record year, 2021. And let's say, our -- it will be interesting when we finish the second half as expected, if 2025 is already which we expected the next best year ever or if we still need another year. So we are on track to get to a new record time. So how we are going to get there? Most of all, it's still the market. Our double digits market share growth will bring us up but the general mortgage market is still relevant as long as it's not normal. So normal means for us, we expect to come back to something of 75 plus billion per quarter. And this thanks to the closed renting market and the need for people to acquire their home plus energy efficiency investments, plus starting in 2027 a normalization of the refinancing market. This altogether will bring us even of up to 100 billion in a couple of years in this volume in this market. And up under then we still will gain another 30% market share. So this -- let's say, the near time future of Hypoport is pretty predictable. If nothing super [strange] happens here in Europe. So this said, just a quick view on what's going to happen this year, the rest of the year. Expect us -- expect positive development in the market still for this year in the real estate segment, financing platforms and insurance for now flat, revenue will be up in all segments at the end of the year. Yet, strongest in real estate and mortgage platform. And EBIT will be, especially in real estate and mortgage up. This is financing all of our activities right now, you can say, financing platforms, insurance will improve their profitability level in the second half of this year. But in the end, we'll -- let's say, both segments are for the total group revenue still not really relevant. We are working on this. We stick with our guidance, [Indiscernible] revenue for this year and 10 million to 20 million in EBIT. What is more important for you is for the next couple of years from there double digit growth top and bottom line. There's an out performance on the profitability side. And I was asked, in the general call, yes, we are focusing on profitability for the next couple of years. We see that our market got more volatile than in the past. And more volatility means in a good year, we need to have a much higher profitability level that, when again, some crisis like the one in 2022, 2023 hit us, that it's not [frightening] for us, but that we can focus in such an environment then on all opportunities that the crisis brings us. And so to be ready for the next crisis in 2030 ongoing, we want the higher profitability level to be achieved in 2025, 2026, 2027. And there, we're going for. So stay tuned, I would say. In three months, next update from our side with the Q3 numbers. And if you have further questions, contact our investor relation department. We are most happy to answer any question. Thank you. Bye-bye.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may disconnect your lines.
End of Q&A: